Operator: Good morning, ladies and gentlemen, and welcome to the First Quarter 2012 Earnings Release Conference Call. [Operator Instructions] This conference call may contain forward-looking statements that reflect management's current views of future events and financial performance. These forward-looking statements are based on many assumptions and factors, including the effects of currency fluctuations, customer preferences, economic and market conditions worldwide and other risks and uncertainties described in the company's press releases and SEC filings. We refer you to Foot Locker, Inc.'s most recently filed Form 10-K or Form 10-Q for a complete description of these factors. Any changes in such assumptions or factors could produce significantly different results, and actual results may differ materially from those contained in the forward-looking statements. If you have not received today's release, it is available on the Internet at www.prnewswire.com or www.footlocker-inc.com. Please note that this conference is being recorded. I will now turn the call over to John Maurer, Vice President, Treasurer and Investor Relations. Mr. Maurer, you may begin.
John A. Maurer: Thank you, and welcome to Foot Locker, Inc.'s First Quarter 2012 Earnings Conference Call. Earlier this morning, we reported first quarter net income of $128 million or $0.83 per share. This is the highest quarterly earnings the company has ever achieved as Foot Locker, Inc. The EPS figure of $0.83 is an increase of 38% over the $0.60 per share that we earned in the first quarter of 2011, and also represents our ninth consecutive quarter of sales and profit increases over the comparable prior year period. Our prepared remarks will begin this morning with Lauren Peters, Executive Vice President and Chief Financial Officer, who will review our first quarter financial results in more detail and touch on some key trends and factors likely to shape our results in the coming quarters. Ken Hicks, our Chairman and CEO, will then provide additional insight into the current business environment and comment on some of the major initiatives of our updated strategic plan that we outlined during our investor meeting back in March. As always, will allow plenty of time for your questions after our prepared remarks. So let me turn the program right over to you, Lauren.
Lauren B. Peters: Thank you, John, and good morning to you all. 2012 has gotten off to a strong start, as seen in the earnings result of $0.83 per share that John just mentioned, a record level of quarterly earnings for the company as Foot Locker, Inc. Reviewing the results in detail, we reported a 9.7% comparable sales increase, with strength both in our stores at 9.1% and in our Direct-to-Customers segment, which was up 16.5%. Recall that in last year's first quarter, we posted a comparable sales gain of 12.8%. Therefore, our 2 years stacked comp gain is a very strong 22.5%. We noted on our previous call that February's comp gain was in the mid-teens. That was followed by a high-single digit comp increase in March and a mid-single digit comp gain in April. Although the comp trends may appear to have decelerated during the quarter, we believe this pattern was influenced by the relatively warm weather in March compared to April, which undoubtedly pulled forward some sales into March as did the 2-week shift forward of Easter. As evidence that our sales momentum is continuing, I can report that our May sales through yesterday are comping in line with Q1 at high-single digits. With the exception of Foot Locker Europe, all of our divisions posted a comp gain in the first quarter. Let me start with Europe, since I know that is a current area of interest for investors. We said during our earnings call in March that Europe's comp was down high-single digits since February. Fortunately, February is not a big month for Europe the way it is in the U.S. Europe finished the first quarter with a mid-single digit comp decline, meaning that the trends improved over the last 2 months of the quarter to a low single-digit decline. And within May's high-single digit comp gains for the entire company that I just mentioned, Europe is up low-single digits. We do expect European economies to remain challenging, and there will be ups and downs in sales within our profitable European business. However, Ken will discuss, during his remarks, some initiatives we have in place that we believe position us to maintain our sales and profit growth in the European market. Turning now to the strongest contributors to our first quarter results. Champs Sports posted a comp gain in excess of 20%, just as it did a year ago, meaning that Champs has produced a 2 year stacked comp gain of more than 40%. We are obviously very proud of the Champs Sports team and their results. Our Direct-to-Customers segment was not far behind, with a 16.5% gain on top of a 21% gain last year. Excluding ccs.com, the balance of our Direct-to-Customers segment also posted a 2-year stacked comp gain of approximately 40%. Although CCS' gain was lower than the rest of the segment, the division did have positive comps in the quarter, both in the direct segment and in the CCS stores. This indicates that the major rebranding that we launched in February is taking hold with customers, and provides encouragement that we will be able to turn CCS into a positive contributor to both our top and bottom line over time. Among our other store divisions, Foot Locker in the U.S., Footaction and Foot Locker Canada all had strong comp gains that approached or exceeded the double-digit mark. All families of business, footwear, apparel and accessories, had strong comp gains, with apparel, once again, achieving an increase approaching 20%. Within footwear, Men's and Kids continue to trend the strongest, while our Women's business was mixed. In Men's, basketball was the key driver, as we strengthened our leading position in our biggest category. However, we also had strong performances in many other areas, including Retro training footwear, Jordan and Adi classics, and seasonal items, such as slides. We maintained momentum in developing our running assortment, although the gains here were smaller. Increases in some lightweight running products such as Nike Free and new products like the New Balance Minimus were particularly strong. As mentioned, Women's footwear results were mixed, with gains in technical and lightweight running, as well as classics, such as the Samoa from Adidas, offsetting weakness in some of the more basic programs in our Women's portfolio. Our Kids footwear business was strong in almost all divisions, but particularly so in Champs and Foot Locker Canada, with gains in those divisions exceeding 30% for the quarter. In the U.S., apparel gains continued to be particularly strong, exceeding 20%. The total company apparel gains fell just short of 20% due primarily to Europe, where our already strong apparel assortment experienced a small comp decline in the face of the tough market conditions there. Our other international divisions posted double-digit comp gains in apparel. We also posted strong double-digit comp gains in hats and socks for the total company. Turning to gross margin, our rate increased by 130 basis points in the first quarter to 34%. We continue to effectively lever our mostly fixed occupancy and buying cost, which produced 100 of the 130 basis point gain. The other 30 basis points was driven by a merchandise margin improvement. Merchandise margins were higher than the last year across almost all of our U.S. divisions, led by the strong apparel performance. Our branded apparel business was particularly robust, a trend which has carried over from last year. Margins were down slightly in Europe compared to the first quarter last year, but the rate remains strong and our inventory remains fresh. For the entire company, footwear margins increased and stayed ahead of apparel margins, with gains in Women's and Kids footwear leading the way. SG&A expense improved 110 basis points to 19.4% in the first quarter from 20.5% last year. Committed to flow through, our SG&A dollars increased by only $8 million, even while sales increased by $126 million. We kept tight control of our store wages in order to improve our sales per payroll hour. Each of our divisions focuses on key productivity metrics such as this to improve our expense performance on an ongoing basis. We did spend $2 million more in marketing this year compared to last year, an investment which we believe continues to pay off. Based on our increased traffic and improving conversion rates, we believe we are bringing customers to our stores and Internet sites and they are finding exciting product assortments that fit their lifestyles. Even with our additional marketing spend, which is up substantially from just a few years ago, our 19.4% expense rate in the quarter is as good as it has ever been as an athletic company. Our depreciation expense came in at $29 million, up a bit from last year's $27 million, reflecting the strategic investments that we have begun making in the business over the last year or so. On the other hand, interest expense was $1 million lower than last year, primarily the result of having extended our credit facility at the end of 2011 with significantly lower annual fees. Our tax rate also came in slightly better than the 37% rate we planned for, as a couple of favorable prior year tax audit settlements allowed us to release reserves we have previously recorded. The overall result for the quarter was net income of $128 million, the highest level of earnings in any quarter, not just the first quarter, in our history as an athletic company. As proud as we are of that accomplishment, we remain focused on the many aspects of our business that we know we can improve upon. And we have multiple initiatives underway to do just that. We opened 25 stores in the first quarter, the majority of which were in Europe, and closed 34, with most of those being in the U.S. We ended the first quarter with 3,360 stores, down 9 from the beginning of the year. Driving strong top line gains while replacing unproductive stores with profitable ones is a good recipe for enhancing many retail metrics such as sales per gross square foot and ROIC. We will continue to work with our landlords to close loss stores throughout the year and improve the overall productivity of our fleet. Moving on to inventory. The productivity of this key asset also continues to improve, as reflected in the 1.1% decline in inventory while achieving an 8.7% increase in overall sales. On a constant currency basis, inventory was up slightly, compared to a 9.8% increase in sales. We closely monitor inventory aging by division and family of business and target our markdown strategically to move product that isn't meeting our turnover objective. The merchandise flow initiatives that we have implemented over the past year and our fresher inventory levels have allowed us to increase sales with reduced inventory. We ended the quarter with $909 million of cash and short-term investments, an increase of $110 million from the end of Q1 last year. In recent years, our first quarter has represented a peak in cash flow generation, with cash balances subsequently declining until we get to the year-end holidays. We continue to increase our strategic uses of cash. Just this week, our board approved a $10 million increase in our 2012 capital expenditure program, taking the total from $160 million to $170 million. The additional $10 million is targeted primarily for new projects in the Women's business and for technology upgrades in allocation and warehouse management system. We continue to invest only in the highest returning projects [indiscernible] to drive our sales, profits and ROIC to new heights. Shareholders are also being rewarded, with a dividend which increased 9% at the beginning of 2012, on top of last year's 10% increase, to $0.18 per quarter. We also brought in 878,700 shares in the first quarter, spending the first $27 million under the new $400 million share repurchase program that the board authorized earlier this year. Before I turn the call over to Ken, let me touch on how we are positioning ourselves for the remainder of the year. Yes, we had a good first quarter result, driven by a comp gain that was almost double digits. As I mentioned, May is off to a similarly good start. However, we continue to plan the rest of the year in the range of a mid-single digit comp increase. We have consistently shown the ability to chase product to deliver higher sales gains if customer demand is there. But by planning cautiously on the top line, we also control our expense structure to ensure that our results do not suffer substantially from any slight shortfall in demand from the current pace. Just as there are operational opportunities for us to improve our business, there are macroeconomic challenges both in the U.S. and Europe, and our multiyear sales comparisons continue to get more and more challenging. We believe we can continue to drive improved results over time, as reflected in the new long-range goals we outlined at our investor meeting. But we also believe in planning prudently, which enables us to react to trend changes more effectively. Turning from sales to gross margin, we continue to anticipate leveraging our fixed cost with sales gains. But with merchandise margins already at or above peak in many divisions, future margin rate increases will likely be more modest than in recent years. The 30 to 40 basis point gain we mentioned on our last call still applies to the remainder of the year. When blended with the first quarter gain of 130 basis points, this equates to an annual figure in the 50 to 60 basis point range. Similarly, we are planning SG&A expenses for the remainder of the year to be down as a percent of sales by 60 to 80 basis points. For the full year, the gain may be somewhat higher than that, given the first quarter's 110 basis point improvement. Our depreciation expense is likely to come in a bit higher than the $110 million we mentioned on the last call, closer to $115 million. Our tax rate is still expected to be about 37% for the full year, given our strong U.S. performance. Finally, let me touch on one factor that we believe many of you are thinking about, FX rates. At the moment, the U.S. dollar is clearly stronger now than it was a year ago, so we are facing some headwinds when translating our international profits into U.S. dollars. The impact of translating our international profits at this year's rates compared to last year's rates, was an EPS decrease of less than $0.01 per share in the first quarter, and we expect an impact of about $0.01 again in the second quarter based on current rates. If these rates hold, the full year effect of the weaker foreign currencies would be a decrease in EPS of about $0.05 per share. However, when we stated on the call in March that our objective is to produce double-digit percentage profit increases in each quarter, we had planned for rates to be about where they are now, so we had factored in that $0.05 full year headwind. If the euro were to fall much below $1.25, of course, these headwinds would grow stronger. This isn't to say we couldn't still achieve our quarterly EPS growth goal, and we will work to offset the FX impact on earnings. With that financial overview, let me turn the call to Ken so that he can provide you with more color on our first quarter results and address the key trends in our business.
Kenneth C. Hicks: Thank you, Lauren, and good morning, everyone. I appreciate you all participating on our call this morning. It isn't every quarter that I can say we achieved the highest level of net income and EPS in the history of our business as an athletic company, so let me say thank you to all of our associates who made it happen. We had a lot of great partners who helped us along the way, most visibly, our excellent brand partners. Results such as this don't happen without outstanding teamwork and excellent performance across the entire company. We have elevated our financial results, both in absolute terms and in terms of consistency. As John noted, this quarter was the ninth consecutive quarter of meaningful sales and profit increases. We got out of the gate strong in February. We believe we had many strengths as a company, but there's no doubt that our ability to connect with the basketball customer is a huge competitive advantage for us. The marquee basketball business was outstanding in February, and indeed, throughout the quarter, as key player shoes such as the Lebron, Rose, Kobe and Durant, all sold exceptionally well. Lauren said I'd put color into my remarks, well our vendors put color into these players' shoes and our customers snap them up. In fact, color was a consistent theme throughout all of our categories and we expect it to continue to be so in the future. The Retro Jordan releases sold out almost immediately, but the Jordan brand was also strong in classics. Results in the Retro training category led by the Griffey and Diamond Turf were also impressive. Adidas was a very strong performer in our stores and online, and not just with the Rose shoes. We also produced big gains in Adi classics such as the Hardcourt, and originals such as the Samoa. In the U.S., Converse was a big part of our gain as we successfully rolled out many innovative styles and colors, some of which, like the padded collar Chuck we brought over from Europe. We continued to develop our running assortments with good gains in the Prestige and from some of the technical brands such as ASICS, New Balance, Brooks and Mizuno. As a category, running was not as strong in the quarter as basketball or the lifestyle classics, with gains in technical and lightweight running somewhat offset by lower sales in some of our longer heritage running programs. In Europe, our running business got a lift in the middle of the quarter with the introduction of the Nike Free. Initial results are positive and we expect momentum to build over time just as it did in the U.S. The Free gives us another strong platform to build on in Europe, along with shoes like the LA Trainer from Adidas and the Nike Blazer. We recognize that Europe is a challenging situation, but we believe we are well positioned here to maintain our market position for this profitable business. In the U.S., our buyers successfully predicted the warm march whether by buying in sun a whole lot of slides, which as a category that was definitely a big win for us in the quarter. As Lauren pointed out, our apparel business was strong, especially in North America. The Nike Jordan, Adidas and Under Armour brands led the way with fleece, tees and shorts all doing well. Graphic and verbiage tees from our team edition facility also performed well throughout our banners. The color hookups of the tees and shorts, with the hottest shoes, made for compelling statements to our customers. We added more performance socks to our assortment, including Nike Elites and Adi and Jordan brand socks. Finally, we extended our lineup of popular Snapback Hats from New Era in order to give our kids the opportunity for great head-to-toe hookups and he really responded favorably. It all added up to a stellar quarter. But while our store associates and field staff were delivering those results, the rest of us were keeping our focus on the future and executing on the many opportunities to improve and expand our business that we outlined at our investor's meeting in March. We don't have time to update you on everything that we're doing, but I'll touch on some of the key growth areas. First, we said we would strengthen our apparel business, which you can see from recent results, we're doing. We continue to refine the assortments by banner. We have a stronger performance apparel story in Foot Locker, for example, compared to the lifestyle apparel in Footaction, where we carry items that you won't see in our other banners such as RockSmith tees and Levi's jeans. We also introduced the new Nike NFL apparel in our Champs Sports stores, which we feel very good about going forward. In Women's apparel, we've rolled out bra and bottoms bars to most of our Lady Foot Locker doors, as well as more performance product. And the response has been good. Of course, it will take some time for customers to discover our new product offerings, and we're not quite ready yet to tell full blown marketing stories about Lady Foot Locker. However, we are making good progress with apparel sales gains in Lady Foot Locker, significantly outpacing footwear, although both were up for the quarter. Our Kids apparel growth has also been very strong recently, although we're starting from a smaller base. Over time, we believe this will become a more significant part of our business. Second, and while I'm talking about Kids, we're working to grow our overall Kids business. We have planned several pop-up Kids stores in the back-to-school timeframe, a strategy which worked well for us last year. And we're working on opening Kids stores in select international markets later this year. Meanwhile, within our existing Kids stores, we continue to roll out kid centric features such as our NBA Pros zone and we're also making the product assortments more kid centric, while still offering the most popular takedowns of the hero shoes from Jordan, Kobe, Rose and others. Third, we have identified the overall Women's business as an area of exceptional growth potential, and we're working hard to develop the proper long-range formula. Meanwhile, we have the largest chains of Women's athletic stores, Lady Foot Locker, to run on a day-to-day basis, and we've been making progress. I mentioned some of the apparel changes we've made, but we also gained traction in footwear. We produced gains in Nike performance running, driven by in-season TR and Dual Fusion, as well as with the Free, which we launched in 5 colors across the entire chain. Our technical brands including ASICS and Mizuno, have also done well here, as have the classics from Converse and Adi. We're in the process of coming up with a completely redesigned Lady Foot Locker format, as well as testing altogether, new Women's concept. It's too early to say anything specific about these efforts, other than that the results may take some time to reach their expected full potential. And in the meantime, we'll work hard to make our existing Women's business a stronger contributor to our overall profitability. Fourth and finally, we identified team sales and services as a significant growth opportunity. Our initial efforts in this area have produced very good results, but again, our existing base is rather small. With the strong support of our vendors, and building on the athletic heritage and infrastructure of Eastbay, we see this business as one that can provide a substantial sales lift over time. Looking ahead, more broadly, we remain confident about the trends in the athletic business. Customers are continuing to respond favorably to the new technologies and colors across many categories of footwear, apparel and accessories. In addition, we have some external factors working in our favor over the rest of the year. First, the London Olympics are likely to build consumer awareness of our products, and not just in the U.K. We'll be offering Olympic-themed product in all of our stores around the world. The European championship soccer tournament next month will also provide momentum for our business in Europe. Second, there's no uncertainty about there being a full NBA season this year. In fact, our challenge is to make sure we build on the initiatives we took over the past year to protect our business in case the NBA didn't play, and not get complacent, given the knowledge that this year, the season will start on time in October. We're not really big on complacency here. Third, there's also no uncertainty about the NFL season this year. And we have a motivated new vendor, Nike, who's also developing some exciting new products, and we're looking forward to partnering with them, in-store and online, on some of their major initiatives. Before I get to your questions, I want to acknowledge our board's promotion this week of Dick Johnson to the position of Executive Vice President and Chief Operating Officer. We have a strong management team at all levels, but Dick has been one of the key contributors to the success we've had so far in executing our strategic initiatives and elevating our performance to the levels we're seeing today. I look forward to continuing to work with Dick and the rest of our team to build on the solid base of business we have created, and deliver even greater shareholder returns in the future. Thank you, and we'll be happy to take your questions now. Go ahead, Sandra.
Operator: [Operator Instructions] And the first question is from Michael Binetti from UBS.
Michael Binetti - UBS Investment Bank, Research Division: Ken, is this was -- I think this was maybe the first positive quarter for Lady Foot Locker in a few quarters, if memory serves. Is that accurate?
Kenneth C. Hicks: That would be accurate.
Michael Binetti - UBS Investment Bank, Research Division: Okay. And you talked a little bit about a refreshed strategy there when we saw you guys at headquarters in March. Can -- and then we heard a step up in the CapEx about related to Women's. Can you tell us a little bit about the project? At the Analyst Day I guess, we saw a slide with some new Nike fixtures in the Lady Foot Locker and maybe we can hear a little bit more about the details around that.
Kenneth C. Hicks: Yes. With the -- as you know, we did a major study, in looking at the Women's business and the opportunity there, and one of the most important things was that this is apparel driven, not shoe driven. So what we've done is significantly step up the apparel we have in the store. What you're talking about is you saw the bra and bottoms bars that we've placed in the stores, as well as, we've increased other apparel such as shorts, T-shirts, track suits from Adidas and Nike, so there's a heavier sense of apparel. There's also more performance in the stores. We are looking and hopefully, early in the fall season, we will have a new design for the Lady Foot Locker stores that we will test that will allow us to show the apparel even better, but at the same time not lose the strength we have in shoes. And then, finally, as I said, hopefully by the end of this year, we'll be able to put up a store that's really designed from scratch. We'll have a couple of prototypes to test that will allow us to really understand what we can fully do in the Women's business.
Michael Binetti - UBS Investment Bank, Research Division: All right. Were you guys able to teach yoga classes in the stores or? I'm just kidding. I'm just kidding.
Kenneth C. Hicks: I will not be teaching yoga class in the store.
Michael Binetti - UBS Investment Bank, Research Division: Well, so that's been an area, I mean, that's been a chain that's just been a real disappointment for a long time and even since you've been there, it's something that I know you scratch your heads on and gone back to figure it out a few times. But I mean, maybe you can help us just to think directionally. I know you don't like to break down the chains, but directionally, where -- how far below what you think that chain can do on sales per foot or what you've seen historically in sales per foot at the Women's business are we at this point, so we can think about the opportunity?
Kenneth C. Hicks: We don't break out to specific chains, but I will tell you that it performs on all our productivity measures, well below the Men's chains. And quite frankly, based upon some of the competition out there, we see no reason why it couldn't perform at the level of the Men's chains.
Michael Binetti - UBS Investment Bank, Research Division: Got it. And then maybe I think you've talked just a little bit about new prototypes that you were testing out at Champs and even the core Foot Locker. Maybe just an update on how that looks...
Kenneth C. Hicks: Well, we've now extended the prototype that we had for Champs in Tyrone Plaza. And we've got 3 more test stores out there and by the end of the spring, we'll have a total of 10 stores. So we'll be able to test the real economic benefit of that. We're encouraged by what we're seeing with the 3 new ones, so -- and 2 of those, by the way, happen to be new stores. But we will have them around the country and including up into Canada, so that we'll be able to know we'll benefit from this and how fast we should be able to move on it next year. We've put in a new Foot Locker prototype in Smith Haven Mall in Long Island, and the results of that are encouraging. We're -- as a prototype, we're working out the bugs, and hopefully, we'll be able to roll out test stores and do the same thing that we're doing with the Champs. It's just running about 6 months behind where Champs is. Our approach is come up with the idea, prototype it, work the bugs out of it, test it to understand the financials both in terms of cost to do and the benefit, and then roll out based upon that test, assuming that it's a positive and meets our hurdle guidelines. Rather than just say, here's an idea, let's go out and change the world and maybe it works, maybe it doesn't. We're going to make sure the things we do work and have a payback.
Operator: And the next question is from Chris Svezia from Susquehanna Financial.
Christopher Svezia - Susquehanna Financial Group, LLLP, Research Division: Just, Ken, just a little more deeper dive in Europe, I guess. Maybe if you added some color, just geographically, I guess, between the 5 major European countries, just kind of where -- what you're seeing north versus south? And just the pickup in the business, I guess where do you see and you mentioned Nike Free being in place, I guess, it was more on the footwear side than in the apparel side. Just your thoughts for that business Europe as we move to the balance of the year.
Kenneth C. Hicks: Yes, I mean, there's no question Europe's a challenging environment. But to your point, there are differences. I mean, Greece is somewhat of a basket case, and that is a challenge, but we only have a handful of stores there. Across Southern Europe, Portugal, Spain, Italy, it's a little more challenging. And we obviously have a strong position in Italy, but the good news is they were very productive and profitable stores, and they continue to be productive and profitable, even with the business being down a bit. The Northern Europe, Germany, France, the Benelux countries are performing better, and in fact, in some cases, some of those countries are up and those economies are better. And so, we see kind of a 3-tier business environment, and we're responding to that. That said, in Shoes, we've got some strong performers. I mean, I mentioned Free, which is a plus for us. The Blazer, some of the Adi classics are doing well. Converse is doing well for us, so they're parts of the business that are doing very, very well. Apparel, which was a bigger business in Europe slowed down a bit. That was partially -- I think, there's going to be a shift, because it's been -- well, we've been warm in the states. It's been very cool in Europe. And as it warms up, I think our apparel, our t-shirts and shorts, will start to pick up there. So, it's not an excuse, it's a timing issue. So, I'm not Pollyanna, I'm not saying things are great in Europe because it is challenging. But it moved, it's in the low single-digit loss for the quarter. It's running up a little bit now. We're forecasting it'll be probably down in the low-single digits for the year, but we do have a lot of things that we're performing well at, and it is a productive chain, or division that delivers. It's interesting, a lot of talk now, when Europe is not performing well and the U.S. is, about Europe bringing us down. There wasn't a lot of talk when Europe was flying and the U.S. was down, and how Europe would bring us up. But our job is to make sure we keep the balance in focus and ride the U.S. strong and make sure we maintain a strong position in Europe.
Christopher Svezia - Susquehanna Financial Group, LLLP, Research Division: Okay, that's helpful. And then just on the apparel side, between private label and branded, you talked a lot about how branded performed. Just a little color on private label and maybe any color between the margin delta between the 2 of them. Did they both improve? Just any thoughts about that.
Kenneth C. Hicks: Yes, our branded business continues to be strong, because of, I tell you, the vendors are coming out with some great product. I mean, Nike, Adidas has been very, very strong, Under Armour. We've been very fortunate. Our private label is improving, and we've got our Women's Actra brand is doing well. We've got Sneaker Freak, which is a strong brand in Europe, that's doing well. But we continue to develop that business as we pulled down on the cotton by the pound T-shirts and move in to more technical apparel, have more fashion in it. And we also, to some degree, have done a shift because with our team edition capability where we're printing shirts for the brands, that used to be -- some of that capacity used to be used with our private label, and is now being done by the brands, so -- or for the brands at a higher ticket. And we're happy and pleased to do that, because it's a fast growing business for us. With regards to margins, we continue to improve the margins. The branded margins are somewhat higher than the private label, but we're continuing to make progress on both fronts.
Christopher Svezia - Susquehanna Financial Group, LLLP, Research Division: Okay. And just lastly, real quick, just your thoughts on the running business as we go through the year? Obviously some -- maybe some difficult comparisons, but just probably your thoughts about how you think that could play out and what's in the pipeline?
Kenneth C. Hicks: I think running is really going to continue to be a strong business. There's a lot of newness coming out, the Olympics will help. You've got the PlanetShoes coming out from Nike that will be exciting. Lightweight is really driving the business. And that one of the things that's happened though with that is some of the heavier, older shoes, which with a higher ticket, people have moved to the lightweight technology, and it's a lower ticket. That's put some pressure on the business. That said, we're seeing some great new shoes come out in those, some of those, what I call heritage lines that I think will help spark that business again. So I think running is still a good story for the industry and a particularly good story for us.
Operator: And the next question is from Sam Poser from Sterne Agee.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Ken, are you seeing, in Europe, the sort of a shift from -- in the apparel side and in footwear, from sort of more fashion oriented products? We've seen some of the other companies outside of your world come out with more challenging numbers there. Are you seeing that there's sort of a shift more towards athletic because there's just more newness going on in the athletic world than in sort of some of the teen fashion space and so on?
Kenneth C. Hicks: I don't -- I'd think there is more of the technical product that's being sold, because it is more interesting and has more look. You look at some of the colors, for example, on the Frees, they're pretty impressive. So, I think there's more of that. I don't necessarily think it's taking away from the fashion. I just think the customer is more challenged and not able to buy as much as they used to. So I would agree that the technical's going up, because it has more look and fashion. But when -- the Blazers being a good example or some of the Adi shoes, Adidas shoes that we're selling, they still want that fashion. And the Chuck Taylors, doing extremely well, they want that fashion. It's just that I think that they're challenged in how many they can buy or how much they can buy.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Well, I guess, my question is, I mean, like sort of, some of the teen retails came out with more difficult numbers or one specifically in Europe. Do you think that there's just more innovation, either in fashion or color or technology happening with footwear and then the athletic realm than there is in that other business and it's -- and you're just seeing sort of a shift of one from the other to some extent.
Lauren B. Peters: Away from nonathletic to athletic?
Sam Poser - Sterne Agee & Leach Inc., Research Division: Away from -- yes, but are they buying less jeans and are they buying more sneakers and other stuff?
Kenneth C. Hicks: No. I don't -- I think, like I said, I think that's -- on the margins, that's what's happening. I think the bigger issue is that you've got -- in Spain for example, over 25% unemployment overall. And with the youth, it's almost -- if you're under the age of 25, you're not working. And that's tough, how can I keep buying more? I can't buy my stuff every couple of weeks. Now maybe it's every 3 weeks or once a month. So that's, I think -- well, on the margin, some of them are buying some of the technical shoes. The fashion is just not moving as much because they're challenged. And the best example, I think, to illustrate that is while we're selling Free, nicely or very nicely North. And we're selling it well in the South where fashion is more important in places like Italy and Spain. It's good, but not as great as it is where fashion isn't as important.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Got you. And then secondly, as you look ahead at what's being offered, I would assume you're just about to -- you're sort of locked down through the holiday. I'm not sure if you pre-lined spring yet. But as you see the offerings coming from various people, how does that look in both in footwear and apparel? And secondly, on -- when you talk about apparel, you talked -- you mentioned Under Armour. Are you seeing -- is Under Armour helping in the Women's area? Are they stepping up with you in a different way at Lady Foot? Is that -- is something going on there?
Kenneth C. Hicks: Yes, we're working with Under Armour. They've got a major effort in Women's and as do all of our vendors, quite frankly. And they're working with us very closely. We've got a good relationship with them. And they realize that to be successful in the mall, we need to work together, and we are on the apparel front and on the shoe front. That said, from all the vendors looking forward this fall, as I said, we've got the World Cup, we've got the Olympics, we've got a full season of football, a full season of basketball and we've got some great names out there that are all exciting. I mean, you got Lebron and Wade and Rose and Durant's just hotter than a pistol, both on and off the court, that -- this is an exciting time for us.
Operator: And the next question is from Camilo Lyon from Canaccord Genuity.
Camilo R. Lyon - Canaccord Genuity, Research Division: Lauren, you said something you've just seen that caught my attention, when you spoke about apparel margins relative to footwear and that footwear margins were actually still increasing and did increase in the quarter. I was wondering if you could just give a little bit more color around that? I would've thought that footwear margins were nearing peak if not there already. So it's a nice surprise to see that those continue to increase.
Lauren B. Peters: Yes, we think the same, good to see that they're increasing. So, we've talked about it before, apparel margins is still below footwear margins. And we did narrow the GAAP though in the quarter, so although footwear margins improved, apparel margins improved year-over-year relatively more. But we still are at that case where footwear is higher than apparel, which encourages us that as we develop that apparel business that, that will help margins.
Kenneth C. Hicks: And what's -- one of the things that's happening that's helping the footwear margins, it's because we're -- 2 things, one, we obviously -- cost went up, and as a result, we adjusted pricing and the customers accepted those prices, because we work very closely with the vendors on where it made sense and where it didn't. And the second thing is a lot of the flow programs that...
Lauren B. Peters: They're really paying off.
Kenneth C. Hicks: Lauren really led that effort on are paying off because we're able to have more full price sales on all of our product.
Lauren B. Peters: As we improved that flow, it keeps the product fresher and supports more full price selling.
Camilo R. Lyon - Canaccord Genuity, Research Division: So is there -- is it safe to assume that there's still more runway on the footwear margins out on the business?
Lauren B. Peters: Well, we're going to keep working on the flow initiative.
Kenneth C. Hicks: And the brands are, too. As, I think as Lauren said in her remarks, we're going to be a little more -- we're not as -- we'll be a little more conservative as we go through the year. But as we keep working on them, we keep finding new opportunities.
Camilo R. Lyon - Canaccord Genuity, Research Division: All right, then. I think we can all appreciate the conservatism. But just to be clear, there isn't anything that should materially change from the product flow opportunity perspective. And obviously, price increases are going to continue to come through the pike in future quarters, correct?
Lauren B. Peters: Yes. But one thing that I'd say is we do continue to say that -- look for it to be 30 to 40 basis points. You get the leverage out of the occupancy, the fixed cost. But those product margins we'll keep working on flow. But as we talked about last year, and we still see it this year, our IMU, the difference between retail price at its origin MSRP and the cost we pay, that's narrowed. So we've got some pressure on margins there, but again, we keep working on the flow stuff to help us.
Camilo R. Lyon - Canaccord Genuity, Research Division: Got it. Understood. And then would you care to comment on what that gap between apparel and footwear margins has narrowed to? Is that gap now in tens of basis points? Or is it still hundreds of basis points? Any sort of broad quantification would be appreciated.
Lauren B. Peters: No. I understand. It's still a meaningful gap, but that we've -- gives us opportunity.
Camilo R. Lyon - Canaccord Genuity, Research Division: Okay, got it. And then just going back to Europe, if can because I think it's an interesting and important topic here, clearly on everyone's mind. It sounds like the demand in your European business really was a function of having more of the better product, less so macro constraints or is that kind of a fair assessment there? It's as you got more free product during the middle of the quarter then you started to see those comps improve? Is that how we should think of that going forward?
Kenneth C. Hicks: Well, no. I wish we could overcome the macro world, but we can't. But that said, it is a product, it's not -- as Sam talked about and I talked about, it doesn't take away a lot of the sales that we had going on, so it's additive. And so as we expand our efforts with things like Free, it's additive to what we're doing.
Camilo R. Lyon - Canaccord Genuity, Research Division: Okay. And maybe since you've opened up new stores on the continent, I think these were more Eastern European stores, if you could just talk about the performance of those new store openings in Europe that would be helpful too.
Kenneth C. Hicks: We're pleased with the new stores that we've opened in those countries to the point that we're continuing to open stores in Poland and the Czech Republic.
Operator: And the next question is from Steve Glagola from Barclays.
Stephen Glagola - Barclays Capital, Research Division: With regards to the European football championships and the Olympics, do you guys have any initiatives planned to highlight these events? And just -- how do you expect this to impact the SG&A over the next couple of quarters?
Kenneth C. Hicks: Well, we'd obviously, we don't sell pure Olympic, like -- well, we do in Eastbay, but where we will get our benefit is twofold. We have a fair bit of apparel that we'll be selling, ranging from T-shirts to very high priced leather jackets that we'll be selling in our stores. And so we will have -- that will provide a benefit and provide interest. We've got some great looking product that we've seen from Adidas and Nike. There will also be product like shoes that will look like some of the shoes that some of the athletes will be wearing, and we will have those. The second, and probably the bigger and longer-term impact that we've always seen from things like the Euro Cup and the Olympics, are people just want to be more fit. They feel inspired and more people go out and take up running or playing basketball with the anniversary, 20th anniversary of the Dream Team, there's going to be tremendous excitement about that, both in terms of product but also, in terms of people saying well, those guys are still up running around, I probably can too. And the third thing is some of the technology. We've talked about the Flywire. There's also new technology that will be going in the shoes that Lebron will be wearing that will -- I actually tested and did not do as well as Lebron did that showed you how high you could jump or how fast you can move, and people will be able to track that. And that technology, I think, from Nike, will be able to -- that people will see and will use and it will be an ongoing thing. So you have -- the product that goes with Olympics. You've got just the aura around the Olympics, and then the technology that will come out of the Olympics that will all encourage sales.
Stephen Glagola - Barclays Capital, Research Division: Okay, great. And then, also just lastly in terms of the comp for the quarter, I don't know if you mentioned, just the split of AUR versus units, and just kind of how you expect that to trend over the remainder of the year?
Kenneth C. Hicks: We did not. And we don't give the specifics, but we had -- well, actually all of the measures were up. Traffic was up. The conversion was up and AUR was up.
Operator: And the next question is from Kate McShane from Citi Research.
Kate McShane - Citigroup Inc, Research Division: I was wondering if you can add some detail, another question on Europe but just to kind of fully understand exactly what's going on in the environment. I just wondered what the competitive environment is like there currently? And how healthy are some of your competitors? And if that potentially is an opportunity over the next 6 months to 12 months?
Kenneth C. Hicks: Well, one of the things, and we stayed pretty close through both our own organization and monitoring the industry, it's challenging for some of our less well-financed competitors, and we've seen a number of them that have gone away. And I think more will have challenges, and that will provide an opportunity for us. We were able -- for example, we just recently -- somebody was going away, and we've picked up 6 leases, in the Czech Republic and Poland, that allowed us to enter those countries in a better way because they were getting out of the business. In Europe, remember, there are still a lot more very small chains and that provides opportunity for us, as we look both in terms of competition falling out and potential places to go.
Kate McShane - Citigroup Inc, Research Division: Okay, great. And my second question is about ASPs. And I know it's a little bit early to be thinking about 2013. But I wondered if you had any view that as we get into the end of the year, where we could see ASPs going. Do you have the sense that vendors are going to continue to increase prices or do you think 2012 was the year to increase prices as the inflationary pressures and then we'll see the more normalized environment at the end of the year and starting in 2013?
Kenneth C. Hicks: I think that 2012 was a higher-than-normal year. And there will still be some pressures, because not so much because of raw materials but because of labor prices in some of the markets. We will see some price increases. They'll probably be more modest. They'll probably be much more targeted, but I don't think we'll see what we saw in 2012, and I don't see them going down.
Operator: And the next question is from Paul Trussell from Deutsche Bank.
Paul Trussell - Deutsche Bank AG, Research Division: Just -- first question, just looking at the digital business, could you -- if you exclude Eastbay, what is the growth that you're seeing in the rest of your Direct-to-Customers business? And also, where are we on launching the websites in the various European countries?
Kenneth C. Hicks: For the non-Eastbay websites, we're in the -- and it varies by site, whether it's Foot Locker, Champs, Kids Foot Locker, whatever, we're up in the 30% to 40% range. So we're seeing very significant good growth. They are, from my perspective, we're still under penetrated, but we've got a significant effort between the stores and the websites to make sure that we continue to grow there and really drive a much more coordinated business. Our web business versus our competition is a much larger business. We've got a longer heritage and we feel very good about it as we go forward. In Europe, we have -- we've had a website in the U.K. We rolled out in the Benelux, in France, Germany, and we're working on doing some of the southern countries. Hopefully, we'll have another country or 2 to add by the end of the year and some more in the spring of next year, so we continue to roll that effort out.
Paul Trussell - Deutsche Bank AG, Research Division: Okay, great, that's helpful. Also expense management was very impressive this quarter. Could you just give a little bit more detail in terms of which areas you saw the most leverage, whether it was store payroll or marketing, corporate expenses? And also, just is there anything timing related that will kind of alter the pace of the year-over-year expense growth in the coming quarters? Perhaps, second quarter versus second half. Should we expect the low single-digit increase in expenses to continue?
Lauren B. Peters: Yes. Again, I'd reiterate that what you would expect for the balance of the year is 60 to 80 basis points per quarter. With the spending $8 million more than a year ago, the improvement in SG&A was across the board. We really were very, very thoughtful in where we had increases. And as we've said, marketing was one of the places that we've looked to continue to tell our story.
Operator: And the next question is from Robbie Ohmes from Bank of America Merrill Lynch.
Robert F. Ohmes - BofA Merrill Lynch, Research Division: Just 2 quick follow-ups. The first, the flying Nate in the Nike Plus be boss sneaker being launched at the Olympics, are you expecting significant quantities of those shoes? Is this a big push that we could see in July, August? Or should we think more of it being seeded into the market and those could be more drivers to your business in 2013?
Kenneth C. Hicks: I'm thinking the whole markets, they are -- safe to say they're being seeded. This is something -- Nike's a very thoughtful company of how it manages new products and technologies. They're going to get it out there. We will have it in a number of our best running stores and on Eastbay and online. And we think it will be good or very good to start, and we look forward to working with them. But the real push will be as it becomes, as the other new technologies have, more of taken in to the market, and I think in 2013, it will be a big play.
Robert F. Ohmes - BofA Merrill Lynch, Research Division: And then the second question, I don't know if you'll give us a lot of insight into this, any new apparel programs for fall? Any new brands coming in? Anything that you weren't doing last fall or that you're not doing right now, in the spring that we should be excited about?
Kenneth C. Hicks: Well, probably one of the biggest things is our team addition program. That's really helped us with the T-shirts and we've expanded that with each of the major brands. We were able to test the T-shirt. We can put out 20 different styles, see -- get 120 in some stores, see which ones work and then come back within 4 or 5 weeks with several thousand of the ones that worked. So that's one of the biggest plays. But I think the other thing is each of the vendors has stepped up their technology and what they're doing when you look at what Under Armour brought out last fall. You look at what Nike's doing. You look at what all of them are doing in women. And we continue to work with Adidas on their programs. So it's not that it's a revolutionary technology, it's that they upped their game with the programs that they have significantly.
Operator: And the next question is from Eric Tracy from Janney Capital Markets.
Eric B. Tracy - Janney Montgomery Scott LLC, Research Division: Ken, maybe talk about the sort of mixed shift, if you will -- or I'm sort of curious on the assortment basketball versus running. Clearly, the cycle has been driven primarily by the lightweight running category. But now, we've seen sort of the re-acceleration in basketball. When you first came on board, you sort of talked about deemphasizing basketball a bit. Maybe just again speak to the ability across the banners to flex the assortments, basketball relative to running and what you're seeing on the trends?
Kenneth C. Hicks: Yes, I never wanted to deemphasize basketball. I just want to emphasize running more. But what happened was there's a lot of technology and a lot of new things going on in running and we still continue to see. I'm looking down at John's feet now I'm seeing some of the new shoes that he's got on. So that helped to drive that business and lightweight was a big part of that. And basketball, quite frankly, not a lot of newness has happened. Well, I would say, there's 3 things that now have happened to basketball that have really stepped it up. One is there's some new technologies and things, lightweight has become more important. Ankle support has become more important. So you see different things that the brands are doing to help drive that. Second is that the players have expanded and have all performed well and stayed out of trouble, and it's really helped the business. When you look -- it's not just -- okay, there's Michael Jordan or it's not that there's just Lebron. You've got Lebron, you've got Kobe, you've got Rose. You've got Durant, you've got Wade. And all of them are performing -- and there's more than that. They're all performing well. And the third thing, I think, that's happened is the look has really gotten good. They've really worked hard to improve the look there. So between technology, the players and the look, that helped the basketball. And so what's really happened is that the basketball business has come back. Our ability to flex quite frankly is significant because of the markets we're in and the different banners. So you've got a banner like Footaction that is much more basketball driven, and we can -- they benefit more from what's happening in basketball whereas Foot Locker has a tendency to be more balanced. And they can have a shift on what goes back and forth. But we can up our level of play in whichever one's working and still be true to what each of the banner stands for.
Eric B. Tracy - Janney Montgomery Scott LLC, Research Division: Okay, and then maybe just to follow on that from a pricing perspective, we obviously know the vendors are putting through these price increases relatively broadly. But it sounds like from a mixed perspective, the running category, as lightweight sort of increases, you say ASP's actually a little bit down relative to the heritage. Can you maybe just speak to where the sort of targeted price increases are really coming? Is it within the basketball category? Is it just select within running? And then how do we think about this sort of puts and takes from a pricing perspective?
Kenneth C. Hicks: It's in all of the categories. And what's happening is, as they come out with new technology, they're able take the pricing up. The launched shoes. Some of the prices, we're selling shoes about $225-$250. But at the same time, we've got a Durant shoe, they're $110-$120. So we're able to have a range of prices. But I think, what the vendors have done very well is they brought out new technology, which has allowed us to take the price up but give the customer a tremendous value. So it ain't -- it may even be from the same family. It may be Lunar or Free, but they've added things to it to be able to get $5 or $10 more. And some of the more technical running brands like ASICS [indiscernible] Gel or Mizuno, those have been able to maintain strong selling even with the lightweight at some pretty good prices.
Eric B. Tracy - Janney Montgomery Scott LLC, Research Division: Okay. And then if we can just lastly, switching gears a bit but to the real estate side. I understand you're layering growth in Europe. But domestically, maybe you sort of speak to the environment, your discussions and negotiations with landlords, how those fair? Obviously, in some -- given your productivity levels are doing quite well. So just in terms of that, relative to still finding some of the more unprofitable doors that you could continue in vet? And how much of that still could potentially be a lever to pull on the margin side as well?
Kenneth C. Hicks: Well, we're still working with what we call our lost stores, and there are opportunities there. And we won't know -- because most of the negotiations really don't get hot and heavy until the latter part of the year. But some landlords gives us concessions, some don't and some malls just aren't performing, so we get out of them. But we continue to work, and I will tell you that it is still a lever. You've heard we've closed a number of stores in the first quarter, we will continue, if a store does not make it and it's not strategically important, we will not -- we'll pull out of that store. That said, we are opening other stores. We're opening Foot Lockers, we're opening Kids, and we're opening Champs stores. Champs you've heard it's performing well. It's one of our smaller number, and there are a number of malls that don't have Champs in it.
Operator: And the next question is from Bernard Sosnick from Gilford Securities.
Bernard Sosnick - Gilford Securities Inc., Research Division: With regard to Champs doing so well, running ahead of the other banners, could you give us a clue as to qualitatively, what is the difference between Champs and where the other banners are? And how quickly you think the gap may narrow?
Kenneth C. Hicks: Well, Champs was the banner that we really started with, defining and clarifying the banners. And it's about 6 to 8 months ahead of the other banners and with regard to that. And they benefited from that. They've also benefited in the apparel that we've pushed -- we've pushed the apparel business, and I think straightened that out sooner so the clear banner definition that -- the use of apparel. And then the third thing is we started stepping up their marketing first. So we were pushing their marketing faster. So they're 6 to 8 months ahead of the other banners. And remember, one of the things that we did, Jake, was part of the team -- Jake Jacobs was part of the team and we helped set that up and we've moved him now back up here and he's, taking some of those same lessons he learned down in Champs and applying them to BigFoot.
Bernard Sosnick - Gilford Securities Inc., Research Division: So you're feeling is that the others are on track, similar to Champs?
Kenneth C. Hicks: Yes. We think a lot of the changes and things now, I wouldn't sit here and say we're going to see a 20% increase from them. But I think that a lot of the changes and things that Champs did to put themselves in the position, we can continue -- we are doing and we'll see in Foot Locker, Lady Foot Locker, Kids Foot Locker and Footaction.
Bernard Sosnick - Gilford Securities Inc., Research Division: Great. Now another question, you're a very important distribution channel for Nike, no question about it. What are your thoughts about Nike opening apparel shops at Penney, assuming that shops like that would be at least 500 feet, maybe to 1,000 more space than a specialty apparel, a specialty footwear retailer can allocate to apparel.
Kenneth C. Hicks: I don't know if Penney's might have been pretty mature exactly in defining what that is. I obviously can't talk about what Nike does or doesn't do with Penney's. But right now, Penney's does sell Nike apparel and it's a different level. And so we don't -- I'm not as concerned about that level, because ours is higher quality and more look than what they have. I also would say that when other people have opened in the mall, for the most part, that actually helps us because it drives -- people get the idea but they drive, because of our assortment, it drives them more to us. So I'm obviously not excited about somebody opening up a bunch of outlets. But I think that our merchants and our position in the market with Nike will allow us to be well positioned and to be able to beat somebody who's that's not their forte.
Bernard Sosnick - Gilford Securities Inc., Research Division: Well, I have to tell you this, so you've set a standard and I'm going to hold you to it. Record earnings quarter-after-quarter.
Kenneth C. Hicks: Well, we appreciate it, Bernie. We're going to try.
Operator: And we have Taposh Bari from Jefferies Online.
Taposh Bari - Jefferies & Company, Inc., Research Division: All right, so Ken, it sounds like the underlying trends in basketball and running are both pretty robust and have been for at least 2 years now. So I guess the question for you guys is do you feel like Foot Locker and the other brands within your portfolio have a more competitive or greater kind of structural competitive advantage in basketball, based on what seems to be more exclusivity in some of these marquee styles that you're speaking to? Because it sounds like pretty much everyone out there is selling and doing well in lightweight running. I just want a take on your thoughts on that.
Kenneth C. Hicks: Yes, I think because of our position in the industry, and with the customer, we are better positioned with basketball. We have the benefit of being a strong player with exclusives. We probably have the best assortment of basketball from Nike, Adidas, Under Armour and Reebok. And I think that, that allows us to be the place to go when somebody wants some basketball shoe, both for performance and for look. So basketball's a little different than running, and I think you said it that it's not just one thing in running and it's not just one vendor or and it's not as player driven, whereas basketball is much more driven by those things, and we're well positioned in basketball. That said, I feel very good about our position in running. And I'd like to have more, I'd like to have more of both. But I think we can have more in basketball -- or I'm sorry in running because of our penetration.
Taposh Bari - Jefferies & Company, Inc., Research Division: Got it. Just the other question that I had was on a point about running. You spoke to a little bit of a mixed shift away from traditional to lightweight. Is that a phenomenon that really accelerated this past quarter? Because I would have thought that, that would have been ongoing now for a while. And I guess in addressing that move, is there a way that you can tweak your merchandise strategy to better capture that underlying trend?
Kenneth C. Hicks: Yes, I think there's 2 elements. one is to make sure that we're best positioned in lightweight. But second, in some of the more heritage programs, or more technical programs, by stepping up what we have with technical, when you look at what we're doing with people like ASICS, Mizuno, Brooks, softening, that helps. But also, with Nike, we can step up our efforts in technical with Nike, and improve. And I know that each of the vendors is working hard to take some of those heritage programs to make them even stronger.
John A. Maurer: Thank you for your participation in our call today. That's all we have time for. But we look forward to having you join us on our next call, which we anticipate will take place at 9 a.m. on Friday, August 17 following the release of our second quarter and year-to-date earnings earlier that morning. Thanks and goodbye.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.